Operator: Good morning. My name is Julianne, and I will be your conference operator today. At this time, I would like to welcome everyone to DTE Energy's Q2 2022 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Barbara Tuckfield, Director of Investor Relations, you may begin your conference.
Barbara Tuckfield: Thank you and good morning everyone. Before we get started, I would like to remind you to read the safe harbor statement on Page 2 of the presentation, including the reference to forward-looking statements. Our presentation also includes references to operating earnings, which is a non-GAAP financial measure. Please refer to the reconciliation of GAAP earnings to operating earnings provided in the appendix. With us this morning are Jerry Norcia, Chairman, President and CEO; and Dave Ruud, Senior Vice President and CFO. And now I'll turn it over to Jerry to start the call this morning.
Jerry Norcia: Thanks, Barb, and good morning, everyone, and thanks for joining us. Let me start by saying that halfway through 2022, we are on track for another very successful year, and we continue to be well positioned for the future. This morning, I will highlight some of the successes we have accomplished this year, and Dave will provide a financial update and wrap things up before we take your questions. Slide 4 lays out the topics I will talk about this morning and all are very positive. As I said, we are on track for another successful year at DTE. And it always starts with our commitment to deliver for our team, customers, communities and investors. We continue our journey of transitioning to a clean energy future, highlighted by putting our new natural gas plant in service, on time and on budget. We have made great strides on strengthening our grid, in particular, to prepare for potential severe weather. On the financial front, we are delivering another strong year for investors. On our first quarter call, we told you we were ahead of plan and we continue track in that way through the second quarter. We are confident that we will achieve our financial goals for the remainder of the year. In fact, we are raising our 2022 operating EPS guidance mid-point from $5.90 per share of $6. This is the second guidance increase for 2022 and provides over 8% growth from our 2021 original guidance midpoint. So we are excited about delivering another successful year in 2022. Let's move to Slide 5 to discuss how we are delivering for all of our stakeholders. You're probably very familiar with this slide by now, which highlights the focus on our four key stakeholders. We know that with our engaged and talented team, we will continue to deliver for our customers, communities and investors. We are working hard on all of these fronts and I am pleased to highlight some of the recognition we have received. We continue to focus on improving the health and well-being of our team. I'm proud to say we were recently recognized for our efforts in this area by receiving the Best Employers award from the Business Group on Health for excellence in health and well-being, with an additional notice for excellence in mental health. The award was given the companies that focus on health, equity and the employee experience and demonstrate the principles of diversity, equity and inclusion. DTE is one of only two utilities to receive this award, which shows our commitment to improve the lives of our team and their families. On the customer front, we received the Energy Star Excellence in Energy Efficiency award from the EPA and the Department of Energy, recognizing energy programs that demonstrate organization-wide energy savings and best practices. We also continue our efforts to support our communities. DTE was recognized by Points of Light for the fifth consecutive year as one of the Civic 50. This award highlights DTE as one of the top 50 community-minded companies nationwide and corporate citizenship. We will continue our efforts in helping to build stronger communities with the many programs we have in place. I'm glad our team gets acknowledged for the great work they are doing. Equally as important is that DTE continues its journey to deliver for our customers and to be a force for good in our communities. So what does that all mean? While I've always said that having highly engaged employees, customers who are satisfied with their service and communities that are resilient and thriving enables us to deliver distinctive value for our investors. And as I mentioned, we are raising a midpoint of our 2022 operating EPS guidance. Given the strength we have seen in the first half of the year and the opportunities we have in the second half. Dave will provide the details on the guidance in a few minutes. Let's turn to Slide 6. Some of you have recently heard me say that right now is one of the most exciting times in our industry. I recently told a group of new employees that they are joining our company and industry are one of the most interesting times in our history, there is so much opportunity in front of us in transforming the way we produce power, shifting generation from coal to gas and renewable, in modernizing our grid, prepare for worsening weather patterns and preparing for increased demand for emerging technologies like vehicle electrification. The level of investment in our company, in our industry over the next five and 10 years will rival the original build outs of power generation and the electric grid. We have made great strides in preparing for these opportunities in a number of key areas. The Blue Water Energy Center, our new natural gas plant went into service in June. This state-of-the-art facility has an 1,100 megawatt capacity and was constructed on time and on budget. The in-service of this plant was timed with the retirement of our St. Clair and Trenton power plants. Today, less than 40% of DTE’s generation mix is attributable to coal. And by 2028, after we cease coal use at our 1,000 megawatt Belle River power plant coal will represent less than 30% of our generation mix. So we are ahead of our previous plan, well on a path toward our net-zero emissions goal. Our voluntary renewables program, MIGreenPower continues to show substantial growth. In fact, we have doubled a number of customers enrolled in a program for the third year in a row. Recently new contracts with the Ann Arbor school system and Comcast were added to the program. We have nearly 1,100 megawatts subscribed with large business customers and over 60,000 residential customers. We are also finalizing agreements for over $1 billion of MIGreenPower investments with additional large customers. We also continue our important main renewal work with the target of completing another 200 miles in 2022, ensuring we can continue providing safe and reliable service to our customers. At DTE Vantage, we have multiple onsite energy projects and dairy RNG projects coming online in the second half of the year. Additionally, we have a strong pipeline of projects that support growth in this business, including potential additional landfill to RNG conversions. DTE Electrics rate case proceedings are going well. And we are on track to file our integrated resource plan in October of this year. We continue to evaluate the opportunity to exit coal use at the Monroe power plant earlier than 2040. And this filing will begin to address our opportunities on that front. As I mentioned on our first quarter call, we have been extremely focused on further hardening our grid. And as you know, we experienced extreme weather last year, we have an aging system. We need to replace and upgrade poles, insulators and transformers. As a team, we are committed to building a flawless grid for our customers, and we need to invest to move towards that aspiration. And with a level of investment and energy inside DTE, we will get there. We continue to make progress on further improving the reliability of our system with significant investments tree trimming. Around 70% of our outages are the result of trees and we have a very aggressive tree trimming program. We have gone from investing $60 million in 2013 to well over $200 million this year to push trees away from our wires. And as we do this successfully and continue to replace and rebuild our challenge circuits, our customers are experiencing the reliability that they expect. So we are definitely making great progress across all of our businesses in 2022, and continue to be ahead of plan. As I mentioned, we are increasing our 2022 operating EPS guidance midpoint of $6 per share, providing over 8% growth from the original guidance. Let's move to Slide 7. We are planning to invest over $40 billion in our utilities over the next 10 years. At DTE Electric, we are investing over $35 billion over this time period, to support reliability by building the grid of the future, while adding renewable resources. And as we plan for cessation of coal use, we will need to invest in renewable resources, short and long duration storage, demand response and other dispatchable carbon free resources. We also see the increased pace of EV adoption that is driving grid investments, support increased sales, and a need for additional reliable generation. At DTE Gas, we are deploying significant capital over the next 10 years to upgrade or replace our aging infrastructure and to further reduce greenhouse gas emissions. This large inventory of utility investment provides the opportunity to pull capital forward into future five-year plans and positions us for sustainable long-term growth. We continue to evaluate our long-term EPS growth target as we update our five-year plan and work through various milestones and our electric rate case while actively engaging stakeholders as it relates to our integrated resource plan filing. And our total return, which continues to outpace the industry is supported by a dividend that is growing in line with our operating EPS growth. With that, I will turn it over to Dave to provide a financial update, Dave, over to you.
Dave Ruud: Thanks, Jerry, and good morning, everyone. Let me start on Slide 8 to review our second quarter of financial results. Operating earnings for the quarter were $171 million. This translates into $0.88 per share. You can find a detailed breakdown of EPS by segment, including our reconciliation to GAAP reported earnings in the appendix. I’ll start the view at the top of the page with our utilities. DTE Electric earnings were $186 million for the quarter. The primary drivers of the variance of second quarter last year were higher rate based costs, cooler weather, O&M expense timing, and the expected movement toward pre COVID residential sales levels. This was partially offset by the acceleration of the deferred tax amortization in 2022 that was implemented to the delay the filing of our rate case and keep base rates flat during the pandemic. The sales level change was consistent with our forecast and including our full year guidance. The higher O&M was driven in part by additional investment in the acceleration of our Tree Trim program. And some of the O&M was also driven by plan investment to ensure we continue to be well positioned for future years. The O&M timing variance will reverse in the second half of the year. I’d also like to remind you that in Q4 of 2021, we voluntarily implemented a one time margin deferral of $90 million to be applied to the acceleration of Tree Trim expenses over the next few years to further our reliability improvements. This is an expense that is non-recurring for the second half of 2022. So with favorable weather and strong first half performance, DTE Electric is in a solid position to increase guidance for the full year. Moving on to DTE Gas, operating earnings were $6 million, $1 million lower than the second quarter of 2021. The earnings variance was due to higher rate base and O&M cost partially offset by the implementation of base rates. Given the solid position year-to-date at the gas company, we’ll be raising the full year guidance for this business. Let’s move to DTE Vantage on the third row. Operating earnings were $28 million in the second quarter of 2022. This is a $6 million decrease from the second quarter last year due to the sunset of the REF business at the end of 2021, partially offset by higher earnings from the remainder of the portfolio. On the next row, you can see Energy Trading earnings were $7 million for the quarter. This is a decrease of $14 million from the second quarter of 2021, mainly due to the strong performance in the power portfolio that we had in 2021 offset by favorable performance and timing in our physical gas portfolio this year. Year-to-date energy trading is at $52 million of operating earnings, which is favorable to our full year guidance. As I mentioned on our first quarter call, some of this favorability is driven by strong performance and some is timing related due to strategic long positions that support physical positions that will occur in future months. While we do expect a reversal of the timing portion of this favorability, as we deliver on these positions, we are confident in increasing our guidance and energy trading to reflect a strong performance in the first half of the year. Finally, Corporate & Other was favorable $9 million quarter-over-quarter, which is primarily due to expenses we incurred in 2021 to opportunistically retire higher priced debt at the holding company. In the second quarter, we also saw the reversal of the favorable tax timing from the first quarter. Overall DTE earned $0.88 per share in the second quarter. Let’s turn to Slide 9. As Jerry mentioned, we are ahead of plan year-to-date, and we are increasing our 2022 operating EPS guidance at both DTE Electric and DTE Gas, primarily due to favorable weather. And we are increasing guidance at energy trading due to the strong performance through the first half of the year. Overall, we are increasing 2022 operating EPS guidance from midpoint of $5.90 per share to $6 per share. And we feel we are in great position to achieve this as well as continue to invest in our system to support performance in future years. Let me wrap up on Slide 10 and then we’ll take your questions. In summary, we feel great about our year-to-date financial results. We’re having a strong operational and financial start to 2022 and are increasing our operating EPS guidance midpoint to $6 per share, which provides over 8% growth from our 2021 original guidance midpoint. Our robust capital plan supports our strong long-term operating EPS growth while providing cleaner generation and increased reliability with a focus on customer affordability. DTE continues to be well positioned to deliver the premium total shareholder returns that investors have come to expect with strong operating EPS growth of 5% to 7% and a dividend growing in line with operating EPS. With that, I thank you for joining us today, and we can open the line for questions.
Operator: [Operator Instructions] Our first question will come from Shar Pourreza from Guggenheim Partners. Please go ahead. Your line is open.
Shar Pourreza: Hey, good morning, guys.
Jerry Norcia: Good morning, Shar.
Dave Ruud: Hey, Shar.
Shar Pourreza: How you doing? So Jerry, let me just, if it’s okay start with the IRP as we’re kind of getting closer to the date. Do you have any sort of incremental thoughts on the overall approach beyond just the acceleration of coal and renewable investments? I mean, do you see opportunities for some immediate step-ups like a purchase of an existing asset or more gradual capital over time and any changes to in financing in either scenario?
Jerry Norcia: Well, we see, early in our plan as certainly incremental investments in renewables as well as batteries and also potential conversion of Belle River power plant to natural gas use. So we see those types of investments, Shar, coming into the plan and into view in the first five years of the plan. So those are the major areas that of opportunity that we see, and of course longer term we see significant investment in baseload generation potentially incremental renewables as well. So we’re getting pretty excited about how this plan is shaping up and we’re starting to get feedback from our stakeholders that is of course somewhat supportive. Some stakeholders want us to go faster. Some of them want us to go slower, but we’re feeling pretty good about how the plan is shaping up in order for it to be what I would say a resilient, reliable plan for our customers, as well as affordable and also valuable to our investors.
Shar Pourreza: Just to follow up on the slowing down. I mean, I know, I really want to just maybe focus on the coal assets, right? Because there seems to be a push in a few states to kind of maintain their viability longer for reliability purposes, et cetera. Any sense if your thoughts have changed in how to think about plants like Monroe, we’re still looking to accelerate those retirements, just given what we’ve seen in several states?
Jerry Norcia: I’d say Shar, thinking has not changed. If you look at how we’ve handled this thus far, we’ve retired a significant amount of coal already. We retired Saint Clair Rouge [ph] Trenton, and we’ve basically replaced those baseload generation assets, one for one with natural gas assets that we purchased, as well as the new power plant gas plant that we just built. And so we feel real good about our position in terms of having reliable and dispatchable generation. And I think you’ll see that pattern continue where not only will we build out renewable resources into our plan, but we’ll also have battery systems and we’ll have baseball generation in our future. That’ll help achieve our resilience and reliability as we look to retire Monroe sooner than what we had expected or a forecast that I should say.
Shar Pourreza: Yes, got it. Got it. And just last one for me just around the visibility of the Vantage growth and any kind of strategic updates. I mean, obviously there’s been some turbulence in RNG, which is one of the major drivers for that business, but at the same time, competitors are starting to merge more prominently focused on RNG. I guess, do you see that kind of complicating the development process, but more importantly as we’re thinking about strategically, does this kind of present even a better opportunity for you to recycle some or all of those assets?
Jerry Norcia: Shar start by saying that we’re always looking for opportunities to maximize investor value. In that business today, we see a strong – we have a strong line of sight to growth, especially in the landfill to RNG conversions. We’ve got a good inventory of those projects and those are still giving us mid-teens type of unlevered IRRs. So we feel really good about the growth but then again constant evaluation as to what’s the best path forward for our investors.
Shar Pourreza: Terrific. Thanks guys. Congrats on the results.
Jerry Norcia: Thank you, Shar.
Operator: Our next question comes from Jeremy Tonet with JPMorgan. Please go ahead. Your line is open.
Jeremy Tonet: Hi, good morning.
Jerry Norcia: Good morning, Jeremy.
Dave Ruud: Hi, Jeremy.
Jeremy Tonet: I just want to dive into low growth a little bit more, if you could share any more thoughts on your expectations for residential going forward here at this point in kind of the drivers, just thinking about how in post COVID world, if we are, things are kind of evolving at this point relative to prior expectations?
Jerry Norcia: Dave, you want to take that?
Dave Ruud: Sure. Hey, Jeremy. Yes, I’d say things are going as we had planned or as we had thought it would. If you remember our residential sales were up about 7% to 8% over pre COVID levels, kind of at the heart of everybody working at home. And we’re seeing that trend down. We saw that a little bit in this quarter with about a 2% lower residential sales this quarter, and we think that’s going to continue to trend down a little more as people come back to work. And that’s what we’ve contemplated in our rate case and just assuming we get closer to those pre COVID levels. And we have seen commercial and industrial come back. And so we’re flat overall, but we’re seeing as people tend to go back to work. We’re seeing some of that expected reduction in our residential sales, still higher than pre COVID right now.
Jeremy Tonet: Got it. That’s very helpful. And hot off the press and maybe too fresh, but just wondering this recent report surrounding mansion supporting, certain legislation out there on a climate package. And just wondering if you had any preliminary thoughts there or how this might or might not impact your upcoming IRP?
Jerry Norcia: Well, you’re right. It thought off the press. It’s interesting. And it was a good surprised last night. We’re not counting on any of this right now in our plan, but we think that there’s some good benefits and some good impacts to clean energy going forward. So we see the PTCs [ph] for solar actually PTCs for nuclear, and the increased value for carbon capture I’ll be on positive to help with this transition and really help with some of the things that we’d want to do in the IRP. So we’re going through and reviewing this. We had gone through it a year ago or whenever it first came out and kind of going back through and seeing what the impacts can be to our plan. But – so right now our plan didn’t contemplate at any of this, but this could all be good positive stuff for us.
Jeremy Tonet: Got it. That’s helpful. I’ll leave it there. Thanks.
Operator: Our next question comes from Insoo Kim from Goldman Sachs. Please go ahead. Your line is open.
Insoo Kim: Hey, thank you. First question going back to the IRP a little bit, and given, the recent experience by CMS or consumer’s energy and getting their IRP approved and the different items including still getting the recovery and return of the value of their coal points that they’re retiring early. Just I know it’s – we will just have to wait for the [indiscernible] but has that – how has that decision and the components of it impacted, I guess your planning a little bit, as you think about your fleet?
Jerry Norcia: Well, first of all, I'll say that the results in the CMS case were constructive and very positive and supportive of the plan that we're looking to file. I will also say that in terms of assets, we're looking in the first five years for a conversion of an asset. So we will not retire any coal facilities at this point in time, likely in the first three to four years, but it will start to fall into likely the tail end of our five year plan and beyond, where we'll pull forward the future retirements, where we have to address undepreciated amounts through either conversion to different beneficial use or perhaps accelerated depreciation or take the option that CMS took. So, lots of options available to us that we need to finalize as we look to pull forward retirements, especially the Monroe retirements, which there's four units there, and we'll do that in a likely in a staggered way. Hopefully, that answers your question.
Insoo Kim: No, that's good additional color. Okay. And then secondly, impressive guidance raise and that's almost a 9% EPS growth year-over-year off of the original. As we just think about the cost inflationary environment right now and I think you're doing your part every year to manage O&M or pull forward any extra levers you have to get ready for the following year. Is – how are you set up, I guess, for 2023, just given – I think this environment is a little bit more challenging than normal years that you've been experiencing?
Jerry Norcia: I'll start and then I'll turn it over to Dave, but I would say we're really well positioned for 2023. I would say that our 2022 raised guidance still has, what I would call, very adequate contingency in the plan to address the balance of the summer and the fall. And we're also looking at opportunities to pull forward maintenance expenses that help build contingency into 2023, lots of work in that regard. In terms of the inflationary pressures, I'll ask Dave to comment on those and how we're handling those in the 2023 planning and beyond.
Dave Ruud: Yes. We continue to – we see the impacts of inflation, but we continue to really work it hard to manage it to make sure it doesn't impact our plan going forward. We've had a really good success in the past of lowering our costs or keeping our costs down compared to our peers. And one of the things that we see is 85% of our spend is services and we haven't seen as much inflation there. So we're trying to manage that. And what we're doing really is looking at all of our long-term contracts, watching the market closely, extending some of those contracts, doing some bundling and some other bidding to help mitigate any of the impacts we see there. So we know the – we see the inflation. We feel it in – with the wages, but within our planning process, we've – we don't see it impacting our capital plans or our O&M going forward as we continue to find offsets for it.
Insoo Kim: Got it. That's good color. Thanks, Jerry. Thanks, Dave.
Operator: Our next question comes from Nicholas Campanella from Credit Suisse. Please go ahead. Your line is open.
Nicholas Campanella: Hi. Good morning team. Thanks for taking the question.
Jerry Norcia: Good morning.
Nicholas Campanella: I wanted to ask – hi, good morning, good morning. I wanted to ask about the new federal clean energy package just I imagine there's a lot of stuff in here that's similar to the prior. And on the point of just nuclear tax credits, you do have the exposure at Fermi. And what type of headroom does the PTC kind of create for customers there? And do you have capital opportunities that could backfill that bill headroom if needed? Any color there would be great.
Jerry Norcia: You're asking how the nuclear PTC can play in for us, Nick?
Nicholas Campanella: Yes, exactly, exactly.
Jerry Norcia: Yes, we're still looking through that. We looked at it in the last plan, too. And thought that it could be an advantage for even our plants in a regulated environment because of how it is still selling into the MISO market. So we're looking at that. It does have a phase out when the market price is high, but we think that it can be a nice backstop and really help with our customer affordability and as that comes in.
Nicholas Campanella: Got it. All right. All right. And then I guess just on the electric rate case, you do have a history of constructive outcomes there, but just how do you feel about ultimately being able to settle this case at this point?
Jerry Norcia: Nicholas, we're very interested in settling and we're having those conversations now. I would say that whether we settle or it goes to a final order without settlement, we're feeling good about a constructive outcome. Yes, this rate case is primarily about capital investment, and that capital investment is very well understood. It's not about increasing operating expenses, it's really about deploying capital that if we feel the commission, the staff as well as the administration is very supportive of this infrastructure build out as it relates to renewables and baseload generation as well as significant investment in our electric grid. So I believe that, that capital investment is very well understood and valued by the interested stakeholders. So we expect a good constructive outcome, but would love to settle this, certainly.
Nicholas Campanella: Got it. Thanks a lot.
Operator: Our next question comes from David Arcaro from Morgan Stanley. Please go ahead. Your line is open.
David Arcaro: Hi, good morning. Thanks so much for taking my question. Just wondering on the…
Jerry Norcia: Hi, David. Good morning.
David Arcaro: Good morning – on the O&M pull-forward side of things, I was just wondering, is there a certain level of O&M that you've been able to pull forward so far into 2022 from 2023, just given the strength that you've had thus far in the first half?
Jerry Norcia: Dave?
Dave Ruud: Yes, we have been able to do some of that. Some of it was natural pull forward. We accelerated some of our tree trim expense, and we were able to do that because we – frankly, we had less storms. We were able to work through some of our tree trim that we've been able to pull forward. And then some of our outages or planned outages we were able to do a little bit earlier as well. So there is some of that, and that's what we're seeing play through in the second quarter.
David Arcaro: Yes. Okay, got it. Thanks.
Dave Ruud: But we are – we do feel like it's putting us in a nice position for 2023, the more of that we can do as well. So we try to manage a few years at a time here.
David Arcaro: Understood. And then thinking around the rate case, do you have any line of sight as to how long you might be able to stay out from rate cases again after the conclusion of this one? And would strategically your preference be to have it be several years between rate cases going forward?
Jerry Norcia: That's something we'll have to assess once we get the final results. Obviously, our desire is always to stay out as long as possible. But once we finalize, we'll have a better view on that. We are looking at in future rate cases, potential mechanisms, for example, trackers on capital that I would say is very transparent and very well understood, and that there seems to be renewed interest in that thought. So that's something that we may pursue in our next rate case.
David Arcaro: Got you. Thanks. And then last quick one. I was just wondering is there any commentary you'd provide on how the trading environment is looking thus far in 3Q, just in terms of the market volatility? Is there prospects for continued strength in that business?
Jerry Norcia: Well, I'd say, yes, you've seen there still is a lot of volatility in that area. We continue to manage things really tightly and have strict controls in there. But we're generally long in our physical position. We've had – frankly, we've had a really good year there. As we mentioned, we're at $52 million year-to-date in the business. But some of that is timing that we know will play out over the second half. But even with the volatility, there should be some additional opportunity there as well.
David Arcaro: Great. That makes sense. Thanks so much.
Operator: Our next question comes from Andrew Weisel from Scotiabank. Please go ahead. Your line is open.
Andrew Weisel: Hi. Good morning everyone. Just…
Jerry Norcia: Good morning.
Andrew Weisel: A lot of my questions have been asked and answered. I just wanted to ask two on the gas side. Can you give us any update on the clean energy natural gas program, the voluntary clean gas program? Where does that stand?
Jerry Norcia: Andrew, that we're getting subscriptions weekly. I would say that we're roughly around 5,000 to 6,000 customers that have signed up. So it's following a similar track as when we offered the MIGreenPower program on the electric side, so good interest. We're evolving the product, if you will, to try and attract commercial customers and industrial customers to the programs. So that will be the next evolution of that program. And when we do that, we will – we expect larger volumes. Right now, we're getting small volumes from residential customers and it's primarily a residential program, which is the way we started MIGreenPower. So we're going to continue to evolve that product as we've seen interest from some of our institutional customers and corporate customers that would like to enroll, so more to come on that.
Andrew Weisel: Do you think that business could be as big as the electric one relative to the proportionally?
Jerry Norcia: Too early to tell Andrew, but we're certainly seeing an interest in the product and as if you recall the product as really bio sequestration products, which are forestry products that we use as carbon offsets, as well as a small component of RNG. And so we'll have to look to be acquiring more assets to support what I would say, larger volumes, right? At this point in time, we've acquired assets in Michigan through third-parties that are in the forestry business that offer us those carbon assets and we're well supplied. And we're looking to see what the opportunities are for larger institutional corporate clients that would like to have this product. So more to come. It's hard to say if it'll be as big as the electric business, but I think it's three or four years to get that voluntary program on the electric side that really start humming and get significant interest in commitment.
Andrew Weisel: Okay. That's helpful. The other one is just on the gas rate case, any sense of when the next filing might come?
Jerry Norcia: We're looking either fourth quarter or first quarter, fourth quarter of this year or first quarter of next year.
Andrew Weisel: Okay. That would have rates in place for not this upcoming heating season, but the following one, right?
Jerry Norcia: That's correct.
Andrew Weisel: Okay. Thank you very much.
Jerry Norcia: Thank you, Andrew.
Operator: Our next question comes from Ryan Levine from Citi. Please go ahead. Your line is open.
Ryan Levine: Good morning. Looks like about 40% of the EPS increase guidance was from energy trading. Would you be able to talk about how much of the year-to-date performance is expected to be reversed and then given the volatility of the last few weeks, does this guidance seem conservative from your perspective when you look for the remaining portion the year?
Dave Ruud: Ryan, that's a good question. You're right. We had another good quarter in trading and had a really good start to the year. So like I mentioned, we're at $52 million year-to-date in that business, and that's why we're confident raising the guidance from like you said, 15 to 25 up to 20 to 35. The timing impact is probably about half of that and the performance is another half. So we're seeing half of it that's really come out in performance. The timing could play out in two ways either with if we see prices come back or some of it just plays out as we deliver on the physical position. So if pricing doesn't come down as much, then there could be some favorability in that timing piece for the second half of the year too. But we're confident in the guidance right now.
Ryan Levine: How is that guidance set then, given the comment you just made, what are the book ends of the range that was provided?
Dave Ruud: The book ends are, if – well, we said it based on what we know we can achieve and what we think we can achieve. And so we see the performance part is right within the middle of that guidance. And then if some of the timing or the pricing doesn't play out in the downward way, then we can reach the high-end of that guidance.
Ryan Levine: Okay. And then as in the release, looks like you reaffirmed your longer-term EPS growth guidance. Should we view that to be off of a rebates 2022 number that reflects the higher 2022 guidance?
Dave Ruud: That's off the original 2022 guidance is where we go from.
Ryan Levine: Of the original. Okay, appreciate that. Thank you.
Operator: Our next question comes from Steve Fleishman from Wolfe Research. Please go ahead. Your line is open.
Steve Fleishman: Hi, good morning.
Jerry Norcia: Good morning, Steve.
Steve Fleishman: Hey Jerry, I'm just curious going back to a question before on the RNG business, there was this recent transaction for Vanguard Renewables, and I'd be curious, just any thought on kind of the pricing valuation of that and how it impacts, how you're thinking about the value advantage?
Jerry Norcia: Yeah, we saw that as well Steve. It was – there are different business than us and that they don't have as many operating projects, but it did look like a really good opportunity and shows great interest still and great confidence in the RNG market going forward and the opportunity for additional development of projects. So it started to do a direct comparison of pricing, but was viewed as a positive in the market that there's still some strong in – still a lot of strong interest in RNG.
Steve Fleishman: Okay. And then – and I apologize, this is also kind of breaking news questions, but just in past, when I think late last year when BBB was first likely you talked about interest and you've talked about interest in carbon capture and storage and opportunities there long-term, could you maybe just talk a little bit about how you're thinking about that business opportunity?
Jerry Norcia: Sure. Steve, we – certainly we're encouraged by the tax benefits that the current plan could offer. We need to understand it clearly, but we've got a handful of projects that we're looking at early feasibility stage and in our service territory, as well as outside service territory. And these could be quite interesting with enhanced tax credits, especially the 45Q that we believe is being proposed to change in that. So more to come on that but could be quite interesting in terms of evolving potential investment opportunity.
Steve Fleishman: Okay. My last unfair question is just, I guess, Dave, just in terms of thinking about this 15% minimum tax, could you just give a sense of whether that would be an issue for you at all?
Dave Ruud: Yeah, Steve, we looked at this before and we got to revisit it again just to go through how it could all work. When we spend time with it a year ago, we understood that we could – we think it could work on earnings basis. We can find ways to offset the earnings. It may have a little bit of a cash hit, but it wasn't that strong. Also want to look at how that plays into some of the renewable development projects and the accelerated depreciation. There is the other piece of that, but we were able to – as we were doing some of our analysis mitigate most of the impacts of what that seems like it could do.
Steve Fleishman: Okay, great. Thank you. Appreciate it.
Jerry Norcia: Thank you, Steve.
Operator: Our last question will come from Anthony Crowdell from Mizuho. Please go ahead. Your line is open.
Anthony Crowdell: Good morning, Jerry. Good morning, Dave
Jerry Norcia: Good morning, Anthony.
Dave Ruud: Hey Anthony.
Anthony Crowdell: Hopefully just two quick ones just related to, I'm just looking at 516 on the convertible equity units. When I think of the dilution you get hit with I think it's November or fourth quarter of this year, the tailwinds that you guys have going into 2023 to kind of offset this, I'm thinking of the electric rate case and maybe more earnings for Vantage. Are there any other tailwinds that maybe potentially offset the dilution?
Dave Ruud: I would say Anthony, the entire capital plan at both utilities is a fundamental tailwind that will move us through 2023. And we're pretty confident we're going to achieve our growth targets in 2023 because of the primarily driven by the capital plan at the two utilities. I think you'll see that our growth of both utilities is very healthy in 2023. And that's what will move us through. And also Vantage of course, will make its contribution in its growth. We're adding $15 million a year there. So all three entities are really going to drive us through 2023. And that dilution that you talked about.
Anthony Crowdell: And I actually don't think you want to answer this, but would you be able to give us – would, the company be willing to give us guidance on net income? Like right now we have, I think 5% to 7% EPS growth. I mean, I'm thinking for net income from 2022 to 2023 or base year, it's more, much higher above the 5% to 7%, is that something that company would provide?
Dave Ruud: Oh, that's something we can look to provide Anthony, show the growth that our underlying utilities maybe is the something we've shown in the past. So that's something that we can look at also.
Anthony Crowdell: Great. Thanks so much for taking my questions.
Jerry Norcia: Yep. Thanks Anthony.
Dave Ruud: Thank you, Anthony.
Operator: We have no further questions. I'd like to turn a call back over to Jerry Norcia for any closing remarks.
Jerry Norcia: Well thank you everyone for joining us today. I'll just close by saying that DTE had a very successful second quarter and we'll – and we're feeling great about the remainder of 2022 and also our long-term plan. I hope everyone has a great morning and stays healthy and safe. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.